Operator: Ladies and gentlemen, thank you for standing by. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded, April 27, 2016. I would now like to turn the call over to Dave Cresci, Investor Relations Manager at MarketAxess. Please go ahead, sir.
Dave Cresci: Good morning and welcome to the MarketAxess First Quarter 2016 Conference Call. For the call, Rick McVey, Chairman, Chief Executive Officer will review the highlights for the quarter and will provide an update on trends in our businesses. And then, Tony DeLise, Chief Financial Officer will review the financial results. Before I turn the call over to Rick, let me remind you that today’s call may include forward-looking statements. These statements represent the company’s belief regarding future events that, by their nature, are uncertain. The company’s actual results and financial condition may differ materially from what is indicated in those forward-looking statements. For a discussion of some of the risks and factors that could affect the company’s future results, please see the description of risk factors in our Annual Report on Form 10-K for the year ended December 31, 2015. I would also direct you to read the forward-looking statement disclaimer in our quarterly earnings release, which was issued earlier this morning and is now available on our website. Now, let me turn the call over to Rick.
Richard McVey: Good morning and thank you for joining us to discuss our first quarter 2016 results. This morning we reported record first quarter results, driven by record trading volumes and an acceleration of market share gains across each of our four core products of U.S. high-grade, U.S. high-yield, emerging markets and Eurobonds. First quarter revenues were a record $89 million, up 15% compared to Q1 2015. Record pre-tax income for the quarter was $44 million, up 15% from a year ago. And diluted EPS was up 18% to $0.77. Our estimated U.S. high-grade market share was 14.9% in Q1, up from 13.7% a year ago. And estimated high-yield market share was 6.4%, up from 4.8%. We believe that share gains in Eurobonds and emerging market bonds were similar to the high-yield pace. Open Trading adoption accelerated and reached record volume and participation in the first quarter. Transaction cost savings continue to grow as Open Trading solutions identified more trade matching opportunities for our clients. Slide 4 highlights our trading volume across product categories. Our overall global trading volumes were $310 billion, up from $244 billion one year ago. We surpassed $5 billion in average daily trading volume in the first quarter, one quarter after reaching $4 billion in ADD [ph] for the first time. U.S. high-grade volumes were a record $178 million for the quarter, up 22% from the first quarter of 2015, on a combination of 1.2 percentage point increase in estimated market share and a 12% year-over-year improvement in estimated high-grade TRACE volume. Volume in the Other Credit category increased 43% year over year as trading in Eurobonds, high-yields and emerging market bonds, each achieved record quarterly levels. We are excited about our recent launch of municipal bond trading and the opportunity to deliver broader access to liquidity and greater efficiency to his highly fragmented market. Today, we have approximately 65 dealers and 200 investor clients onboarded to trade muni bonds and we expect this also [ph] to expand in the coming months. Based on MSRB data, we estimate the secondary trading in municipal bonds averages around $6 billion per day. We have implemented a tiered fee schedule based on maturity and trading value, and currently expect the fees per million traded will be between $350 and $400. With three trading days remaining in April, estimated high-grade market share is running above the first quarter level. Total average daily trading volume for April is similar to the first quarter 2016 level, while market volumes are slightly low. Slide 5 provides an update on market conditions. Overall market volumes reported by trades hit record levels in the first quarter with high-grade volumes up 12% and high-yields volumes up 9% from a year-ago. The expansion of trading volume reflects the growing size of debt outstanding in the credit markets and the global demand for yield. Fixed income mutual funds fund-flow stabilized, while dealer inventories remained well below historical levels. Many dealers have scaled back their credit market making activities, while others have exited entirely. Our solutions are increasingly valuable in a market where the traditional providers of liquidity are adjusting to the constraints of new regulations and higher capital costs. Slide 6 provides an update on Open Trading. Open Trading volumes more than doubled of year over year, reaching a record $37 million in the first quarter. Over 82,000 all-to-all trades were completed during the quarter compared to 35,000 in Q1 2015. Open Trading average saving volume was up 36% sequentially versus the fourth quarter. We were especially encouraged by the increasing number of unique liquidity providers or price markers on the platform, which grew to 527 firms, up from 346 in Q1 a year ago. This expanding pool of participants helped drive a 259% year-over-year increase in Open Trading price responses. In the first quarter of 2016, transaction cost savings for U.S. high-grade open trades averaged 5 basis points in yield and high-yield trades at average savings of 0.5 or $5,000 per million traded. We continue to invest in new and innovative trading protocols to expand the set of open trading solutions for our clients. Our most recent technology release includes private trade, order blotter matching to limit information leakage for larger trades as well as open trading functionality for the municipal bond market. We are encouraged by the growing success of open trading as an alternative pool of liquidity for large and growing global credit markets. Slide 7 provides an update on Europe. Our European business continues to grow with 46% year-over-year increase in trading volumes from European client during Q1. European client volume growth was driven by Eurobond, emerging markets and U.S. credit products trading. Data revenue was up 17% year-over-year. We are also encouraged by the rapid adoption of Open Trading in Europe with 65% of Eurobond inquiry now being submitted to Market List. The ECB has recently announced plans to have investment-grade corporate bonds denominated in euros to the asset-purchase program beginning in June. The current expectation is that most of these bonds will be purchased in a primary or new issue market. Depending on the size of the corporate bond purchases, this could crowd out private sector purchases of corporate bonds and as the margin reduced overall secondary turnover with some bonds. MiFID II is expected to be implemented in 2018, expanding opportunities in electronic trading, data and regulatory reporting. The regulations will require increased regulatory transaction reporting for both investor and dealer firms and will bring greater transparency to European markets. We are enthused about our growing involvement in European markets. Now, let me turn the call over to Tony, for more detail on our financial results.
Antonio DeLise: Thank you, Rick. Please turn to Slide 8 for a summary of our quarterly earnings performance. Revenue reached a record $89 million, up 15% from a year-ago. The record trading volumes led to an 18% year-over-year improvement in quarterly commission revenue. As to the impact of the strength in dollar, information and post-trade revenue was up 6%, mainly driven by 12% increase in data revenue. Total expenses were $44 million, up 15% year-over-year and reflects our continuing investment in people and systems to support our growth initiatives. Compared to the first quarter of 2015, our headcount increased by 54 with the vast majority related to newly created positions sitting in technology and customer facing positions. The effective tax rate was 34.7% for the first quarter. The year-over-year reduction in the effective tax rate reflects a higher percentage of income attributable to lower tax rate jurisdictions. Our diluted EPS was $0.77 on a stable diluted share-count of 37.7 million shares. On Slide 9 we have laid out our commission revenue trading volumes and fees per million. Variable transaction fees were up 23% year over year, as the increase in trading volume was offset by a slight decline in overall transaction fees per million. Our U.S. high-grade fee capture is influenced by a number of factors including the duration of bonds traded on the platform, trade size and dealer fee plan mix. The $6 per million sequential increase in high-grade fee capture was due primarily to slightly higher years to maturity and a small shift in trade size. In line with the comments made on the year-end earnings call, distribution fees were sequentially lower, reflecting the movement of several dealers to the all variable fee plans during the fourth quarter. Now, other credit category fee capture is influenced by the product mix between Eurobonds, emerging markets and high-yields, and mix with enterprise. The $21 per million sequential decline of fee capture was due to several factors. We experienced higher growth in trading volumes from Eurobonds, a greater percentage of high-yield bonds traded on our spreads protocol and emerging market trading volume skewed towards sovereign bonds versus corporate bonds. Each of the mix changes result in the heavier weighting to lower fee capture products. Slide 10 provides you with the expense detail. The majority of the $4.5 million sequential increase in expenses was due to higher compensation and benefits cost. The variable bonus accrual which is tied directly to operating performance was $1.7 million higher. Employment taxes and benefits were $1.1 million higher and reflect the typical first-quarter seasonality where items like employer taxes are front-end loaded. Salaries were also $700,000 higher and reflect the headcount increase and wage adjustments effective the first of the year. An increase in third party clearing cost associated with the growth in Open Trading and larger reference data spend to support new product launches accounted for the remainder of the variance. We continue to target a roughly 10% increase in employee headcounts over the course of this year when compared to the year-end 2015 balance. The timing of the expected headcount increase, level of performance-based variable incentive compensation and foreign currency movements between the dollar and pound sterling among other items could cause variations in the expense outcome. On Slide 11, we provide balance sheet information. Cash and investments as of March 31 were $285 million and consistent with the year-end 2015 level. During the first quarter, we paid out our year-end employee cash bonuses and related taxes of roughly $27 million, the quarterly tax dividend of $10 million and capital expenditures of $6 million. We have no bank debt outstanding and didn’t borrow against our revolving credit facility. We initiated repurchases under our new share buyback program on March 1 to offset dilution from equity grants. During the first quarter we repurchased 10,000 shares at a cost of $1.2 million. As of March 31 approximately $24 million was available for future repurchases under the program. Based on the first quarter results our board has approved a $0.26 regular quarterly dividend. Now let’s turn the call back to Rick for some closing comments.
Richard McVey: Thank you, Tony. Our first quarter results reflect a broad-base increase in demand for electronic trading solutions in global credit markets. We are encouraged by the breadth of volume and market share gains across products, regions and client segments. The market need for open trading solutions to more easily connect buyers and sellers of bonds is becoming more apparent each quarter. Our launch of municipal bond trading is another step toward expanding our footprint to provide our clients with best-in-class technology solutions in new areas of the credit markets. Now, I will be happy to open the line for your questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Mike Adams with Sandler O’Neill. Your line is open.
Michael Adams: Good morning, gentlemen. Congrats, you did it again, another record quarter here.
Richard McVey: Hey, Mike.
Michael Adams: So, first question, on Europe, a big uptick in the Eurobond volume in the first quarter. I think it was up like 70% sequentially, give or take. So could you dissect this growth a bit, between seasonal factors, new customer adds, share gains, anything else worth mentioning? And then, what do you attribute these gains to, because you’ve been investing in Europe for a while, so what was the tipping point for customers?
Richard McVey: Mike, it’s really a continuation of what was started last year. You’ll recall, we did make some protocol changes, the first of last year, the first of 2015, where we opened up the trading protocols to give clients the choice of the dealers they go out to on inquiries. We launched Open Trading a year ago. That had made the difference. And us - see, we have more clients engaged in Eurobonds today than we ever had in the past. We had an increase. This is just year-over-year. We had an increase of about 30% in number of clients that are actively trading Eurobonds. So we’re delivering more value that’s more content on the platform. It’s driving more order-flow to the platform. Some of that is driven around protocols, around data that’s exposed in the platform. But it’s a combination of all that.
Michael Adams: Got it. And then, somewhat similar question on some of the statistics you’re providing on Open Trading. But the big spike in the response count this quarter, what are you going to attribute that to and what percentage of your customers at this point are actually price makers?
Richard McVey: So the 525-or-so that we’re responding on the system during the first quarter would represent approximately 50% of the active clients of the system, which we think is a very encouraging sign. And as you heard in the prepared remarks, as the participation grows in the price responders, the transaction cost savings are also growing. So this is a virtuous cycle, where the more people that are in the pool the better transaction cost savings that we can deliver. So I think what I reflect, Mike, is that the behavioral change taking place is a combination of traditional market participants that now have a new way to provide enforced [ph] liquidity in the credit markets as well as our platform enabling new participants to be more involved in credit market making than they have in the past. So I think it was a very encouraging quarter for us in Open Trading and we’re seeing positive results across most of our product areas.
Michael Adams: Got it. And last one for me, but muni bond trading, it’s been up for - I think up in right now for all of two weeks, so it’s a bit premature to go here. But I’d like to anyway. What’s been the initial response from customers, the good and the bad? And what kind of volume has been executed on the platform today?
Richard McVey: Yes, it’s very early. In fact, it’s not even two weeks, Mike. It’s about six days of trading, so very difficult to draw any immediate conclusions from the activity level. The client and dealer response has been very positive. We think the first release of the municipal bond technology has been very well received. Like with all products we have plenty of ideas on an n-spin [ph] to the upcoming releases and the technology will continue to get better. But there are a lot of things that I like. It’s very simple, when we look at past successes that you really need three key components. You need a comprehensive technology solution that suits the practices in that market. We are highly confident that we have that, with single security solutions, fin-offer [ph] solutions and open trading all live for municipal bond trading. You need broad-based dealer pricing and liquidity. We already have about 65 dealers onboarded for municipal bond trading. We expect that number to grow to something like 90 to 100 over the coming months. So we have broad based dealer interest in the product. Within that, I am very encouraged, because the other thing we are getting with muni, for new clients to the platform, in nearly half of the muni dealers that come on MarketAxess are brand new broker dealers for the company. And then third, you need broad-based investor demand, and that is showing up as well with the 200 clients that have onboarded for munis with more coming again in the coming months, and early experience with them has been positive. So we don’t have a specific volume information report, but we’re trading munis every day and more clients are in testing the software and having good results. We expect that the balance of this quarter will be about laying the foundations in terms of blocking and tackling of dealer approvals to trade with clients. And the training that’s going on for all the municipal despos [ph] the by-side and sell-side. But we think we are in really good shape in the third quarter. It will probably be a better reflection of adoption rates.
Michael Adams: Got it. Great color, Rick. I’ll get back in the queue. Thanks.
Operator: Thank you. Our next question comes from Kyle Voigt with KBW. Your line is open.
Kyle Voigt: Hey, good morning, gentlemen.
Richard McVey: Hello, Kyle.
Antonio DeLise: Good morning, Kyle.
Kyle Voigt: Good morning. So just first question would be on Open Trading, just a follow-up, so the market with trade-count by client segment, looks like the percentage of long-only investor managers winning these trades is growing pretty substantially, so I think it was at 48% in the first quarter, up from 33% in the fourth quarter. So can you just kind of elaborate on what’s driving that as growing proportionate of long-onlys wining the trades? Is it just more long-onlys getting comfortable with putting that prices, or is there any color that you can provide there? Thanks.
Richard McVey: I think it’s something - it’s 48% of the volume and Open Trading is being completed with price responders from the long-only community. Their average ticket sizes are higher than some participants on the platform, but it also reflects as you suggested a behavioral change for many of them. And the number of opportunities that we are providing each day, are creating more and more focus for traditional investment managers that see new ways to buy and sell bonds in the secondary market. And we also see a trend where more and more traditional investment managers are hiring trading skills from the street, where there are people very comfortable being opportunistic price makers and that is starting to come true on the platform as well. There is still a lot of work to do. This is a big change for investment managers that have typically had a fairly rigid trading process in structure and historically have gone to dealers for pricing. So I would not underestimate the amount of change that’s still in front of us. But sequentially, we are very encouraged by the results that we see and the investment management community continuing to move in that direction.
Antonio DeLise: Hey, Kyle, hi, just one clarifying point, just to be clear on that slide, that slide is showing the volume distribution by segment, by client segment. If you look back in prior quarters with the trade count distribution…
Kyle Voigt: Okay.
Antonio DeLise: …everything Rick provided in terms of color and more engagement from the buy-side is absolutely spot-on. It’s just the - the view was a little bit different quarter-to-quarter.
Kyle Voigt: So this is notional versus natural count last quarter?
Antonio DeLise: Exactly, right, yes.
Kyle Voigt: All right. So just another question I guess on expenses. So if you analyze the first quarter expenses you get to above the high-end of your guided range. So am I right to think about this was a step function in the first quarter and there might be some tapering off of expenses throughout the year or should we expect the expense base continue to do? Thanks.
Richard McVey: Kyle, on the expenses, in the earnings press release, we did we reconfirm our expense guidance. And that would - the expense guidance was $168 million to $176 million. You can’t simply take the first quarter really and use that as a jumping off point. This is a - it’s a bit of an anomaly, every first quarter where you have employer taxes and 401 K matching and other items which hit really in the first quarter. So it’s not one where you’re going to take that number in and jump off. It’s a little early to say where we’re going to fall within that range - within the guidance range. I mentioned in the prepared marks some swing factors with employee headcount and variable incentive pay and foreign exchange. Those are all items that could swing the outcome. But I leave you with one message and that is we’re continuing to invest, we think the time is right with all the market structure changes going on. We’re expanding the addressable market and increasing geographic reach and launching new products and we’re going to continue on that path.
Kyle Voigt: Okay, understood. And then just one last follow up. Sorry, Rick, I missed this. Can you repeat when you said in terms of high-grade market share for April so far? I think you said roughly the same as 1Q, but I just want to confirm that. Thanks.
Richard McVey: We actually said that the April month today high-grade shares running above the first quarter level and total average daily volume on the system is consistent with first quarter level.
Kyle Voigt: Okay. Thank you.
Operator: Thank you. Our next question comes from Hugh Miller with Macquarie. Your line is open.
Hugh Miller: Hi, thanks for taking my questions. Good morning.
Richard McVey: Good morning. Hugh, how are you?
Hugh Miller: Great. So definitely appreciate some of the color you guys provided with the granularity on the municipal bond trading, pricing, fee capture, that type. I was wondering, can you just remind us again as you think about the longer term addressable market for that product for electronic trading, where do you kind of see that? And as we think about trading maybe a year from now, is there a particular market share goal that you guys has set?
Richard McVey: Yes, we think the significant portion of the municipal bond market is addressable for electronic trading. I got some similar characteristics to corporate bond market in terms of very high percentages of small tickets. And as you know we continue to add trading enhancements that are designed to help with the concern about information leakage for larger trades. So we think a significant portion of market will be addressable by electronic trading venues. We haven’t set a specific market share target. We have internal estimates. It’s really difficult to predict. And these markets historically always take time to get the clients to change their trade behavior and move forward their business electronic. I would repeat though anecdotally as we launched this product, the feedback we’re getting from both investors and dealers in my opinion the most positive we’ve ever seen. So we’re cautiously optimistic that the adoption reach for this product here it could be faster than we’ve seen in the past, but we don’t have any specific market share targets to share with your today.
Hugh Miller: Sure, sure. That’s definitely helpful. And I understand it’s completely early days. But given that roughly half of the dealers that you are bringing on to the platform for munis are newer to MarketAxess. What are some of the anticipated challenges from getting people comfortable with the system in responding in those types of things? I mean, are there lessons that you’ve learned from other rollout that you guys expect to kind of aid that? And what are the challenges you anticipate just from kind of getting used to and leveraging the platform for these dealers?
Richard McVey: I think two things. One, part of the headcount increase that Tony talked about earlier was specific to the muni product. So we’ve been bringing in experienced muni bond professionals that are working with dealers as well as dedicated investor debts and also owning our own sales-force that covers investors more broadly to understand the nuances and specifics of the muni bond market. But the other point is I would say two things. We get very high marks for the ease of use of our technology platform. All accounts, it’s very intuitive. The logic is comfortable for dealers and investors, because we do try replicate the practices in each individual market. So we are confident that we will have a successful launch in terms of client dealer usage and ease on the platform. And then, finally, I think what ultimately drives the pace of all this is investor order-flow. So the key is generating the investor demand, and the order flow that makes it more interesting for dealers. They’re providing a market-making role, and so we are working very hard in the investor-side too to get them to understand the benefits of the platform and build usage just as soon as we can.
Hugh Miller: Great, that’s helpful. Thank you. And then, just shifting a little bit towards the other category, fee capture in the quarter, you mentioned kind of within the high-yield product for shift towards the high-yields spread protocol, can you just remind us what the differential is in fee capture within high-yield amongst those categories?
Richard McVey: Sure, Hugh. There were several factors during the quarter driving the other credit fee capture down.
Hugh Miller: Yes, yes, we...
Richard McVey: I’ll tell you - I’ll tell you first, first off, it was - listen, it was a great quarter. And all the products in that group grew. So it wasn’t that we change pricing. So it was a pretty spectacular outcome. On your very specific question, so we have some high-yield bonds that trade on price and some high-yield bonds mainly cross-overs that trade on our spread protocol. And just to put it in context, spread protocol means that the fee capture would look like the high-grade fee capture. And then, you have high-yield that trades on price, which maybe 3X the high-grade fee capture. So when we do have a shift, which does happen on a case, you will see more or less coming from price based or spread based, when you have that sort of shift it does influence fee capture a little bit. The bigger change during the quarter was Eurobond, if you were looking at the fourth quarter fee capture, and you are jumping off a point for estimating other credit fee capture was the fourth quarter level, when EM and high-yield only grew 20% and Eurobond grew 70%, we have a mix shift, so that was the bigger influence sequentially.
Hugh Miller: Yes. I definitely appreciate the color. We - in kind of backing into the numbers, the others were kind of self-evident. We’ve talked about in the past the mix shift with the Eurobond growing and then also the EM sovereign, the corporate. I was just asking specifically on the high-yield category, because those trying to back into the numbers. I was just noticing that that you likely saw a little bit of down-tick in the high-yield bucket, and just wanted to get some color around kind of the dynamics for that particular product category. So it’s definitely helpful. Thank you very much.
Operator: Thank you. Our next question comes from Patrick O’Shaughnessy with Raymond James. Your line is open.
Patrick O’Shaughnessy: Hey, good morning, guys.
Richard McVey: Good morning, Patrick.
Patrick O’Shaughnessy: I was hoping you can give an update on your leverage loan initiative in terms of expected rollout or trading there. And I guess your expectations in terms of customer adoption of leverage loan trading kind of relative to customer adoption of muni trading?
Richard McVey: Yes, the leverage loan product area we said in the past, the average daily volume estimates that we have, we do just somewhere around $2 billion or $2.5 billion a day. So it’s roughly a third of the size of the muni market in terms of average daily volume. The release date has moved toward the end of this quarter or early Q3. It will have the normal onboarding issues the tackle upfront. So I would guess that we are looking at quarter three for the leverage loan product in terms of getting the foundation in place. Focus in the second quarter is going to be mostly on the municipal bond launch.
Patrick O’Shaughnessy: Got it. Thank you. Quick question on your distribution fees, Tony, I apologize if I missed it. But I don’t think you gave any guidance for second quarter distribution fees. So should we probably expect those to be roughly flat quarter over quarter?
Antonio DeLise: I think that’s a pretty good assumption. Right, I’ll say, right now, we are tracking anything of substance. But, again, I’ll also remind you that we do provide choices to the dealers in fee plans. And they’re responding to the economics of the plan and changes in what they’re committing to the capital and changes in the size of their debt. So there is always a possibility as to fluctuations. But right now we aren’t tracking anything that does.
Patrick O’Shaughnessy: All right. Great. That’s all I got for you.
Operator: Thank you. Our next question comes from Ashley Serrao with Credit Suisse. Your line is open.
Marcus Carney: Good morning, gentlemen. This is Marcus Carney in for Ashley Serrao.
Richard McVey: Good morning.
Marcus Carney: I just had a question. Competitor recent - a startup competitor, recently announced plans to offer like maker-taker rebates on their electronic bond trading platform. I was wondering if you could just give us thoughts on kind of the competitive landscape in general and whether or not something like that would work well for electronic corporate bonds.
Richard McVey: Well, I’ll be happy to start with the competitive landscape in general and then your specific question on maker-taker. But when you look at our sequential growth, Q4 to Q1, we added roughly $60 billion in trading volume sequentially. So we feel really good about the acceleration of share gains on the MarketAxess platform. We have seen a few volume reports in the media from some of the startups in the credit space. And anecdotally we pick up information most weeks as well. And we’re highly confident that that volume and market share growth for MarketAxess in Q1 represents a strengthening of our competitive position relative to the others in the space. So we feel very good about that. The new platform we have, quite honestly, we haven’t heard a whole lot about it. But as I said in the past, the critical fees of reducing transaction cost for credit market participants is in the size of the network and the technology to identify matches. And those cost savings opportunities are so meaningful as we discussed in prepared comments that credit unlike commoditized product areas is not really all about just the transaction fees. It’s really about the technology and the breadth of the network and the ability to identify matches that can then deliver very significant transaction cost savings for overall the clients. So I think what you are seeing is that the benefit that we have is the enormous investment in trading protocols that suit the credit markets that we have made over the last 16 years and continue to make it a larger level that anybody in the space combined with over a 1,000 institutional firms that are actively trading on the platform. And that’s what ultimately delivers value to our clients.
Marcus Carney: Excellent. Thank you. And then, just a follow up on the new initiatives, I believe last quarter you said that you expected business promotion expenses to be about $2 million to $3 million. With the successful launch of munis and slight pushback in the loans, is that kind of still the range you expect?
Antonio DeLise: Yes, Marc, I think it is. We did sort of run in low some of the muni expenses. So we’re sitting here now with about 10 dedicated personnel, most of those in sales and technology and even the support area. And then there is reference data and some other cost associated with that, but fully loaded, it’s probably $3-million-plus. But over the course of this year because another will be staged, then it’s still that $2 million to $3 million number.
Marcus Carney: Okay. Perfect. Thank you very much.
Operator: Thank you [Operator Instructions] Now, we have a follow up from Mike Adams with Sandler O’Neill. Your line is open.
Michael Adams: Hey, guys. A question on pricing, I know one area where you have utilized some pricing incentives is with open trading. So I’m curious if the success that you’ve been seeing has had any impact overall in pricing and if you could try to quantify that for us? Just trying to understand what the continued growth could mean to pricing a couple years from now.
Antonio DeLise: Mike, this is Tony. We have set some bagging [ph] out just now. On the pricing side, we do provide some incentives in open trade. It’s one of those things that we’re continuing to look at the pricing models and different ways of incenting behavior. I can’t say there is anything - if anything is imminent right now. We’ll continue to look at it. We’ll evaluate the fee plans. But nothing imminent at this stage right now.
Michael Adams: Okay. But Open Trading to-date hasn’t really moved your revenue per million in any of the various buckets yet?
Antonio DeLise: Mike, on an overall basis, it really - it does not influence the U.S. high-grade’s fees per million, nor does it influence the overall fees per million. And if I can, I’ll tell you that on the overall fees per million, Open Trading influence may be $1 or $2 per million impact in the overall fees per million, but really it’s not influencing it right now.
Michael Adams: Got it, great, and, Tony, I’ll squeeze one last one here. I know you guys have provided some color on April. But just given some of the underlying mix-shifts in the other credit bucket, could you comment on the mix of other credit in April, have you seen any changes or should we expect that to be relatively stable?
Antonio DeLise: Mike, getting that granular right now will be - it will be little too granular. And it’s also - I mean, if what you’re trying to get at is, where do you think fee capture is going, is it a little early to start talking about that. I’ll tell you that from a fee capture standpoint what we’re seeing in April is no significant difference than what we saw in the first quarter. I’m talking about total fees per million, variable transaction fees per million, not completely [ph] different. Some of that - you have market volumes in these products growing at different rates right now and that’s why this - to talk about it right now would just be a little bit premature.
Michael Adams: Got it, now, that’s good color. Thanks, Tony.
Operator: Thank you. And I’m showing no further questions at this time. I’d like to turn it back to Mr. Rick McVey for any closing remarks.
Richard McVey: Thank you for joining us this morning. And we look forward to catching up with you again next quarter.